Operator: Good day, ladies and gentlemen, and welcome to the John B. Sanfilippo & Son Incorporated Second Quarter Fiscal 2018 Operating Results Conference Call. At this time, all participants are in a listen only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference call may be recorded. I would now like to introduce your host for today's conference CFO, Mr. Michael Valentine. Mr. Valentine, you may begin.
Michael Valentine: All right. Thank you, Daniel. Good morning everyone, and welcome to our 2018 second quarter earnings conference call. Thank you for joining us today. On the call with me is Jeffrey Sanfilippo, our CEO; and Jasper Sanfilippo, our COO. Before we start, we want to alert you to the fact that we may make some forward-looking statements today. These statements are based on our current expectations, and they involve certain risks and uncertainties. The factors that could negatively impact results are explained in the various SEC filings that we have made, including Forms 10-K and 10-Q. We encourage you to refer to these filings to learn more about these risks and uncertainties that are inherent in our business. Starting with the income statement; net sales for the second quarter of fiscal 2018 increased by 3.9% to $259.1 million in comparison to net sales for last year's second quarter of $249.4 million. The increase in net sales was primarily attributable to increased sales of snack mix and trail mix products in our consumer distribution channels. Sales volume increased by 0.9%, as the 6.6% sales volume increase in the consumer distribution channel was offset in large part by a 14.5% decline in sales volume in the commercial ingredients channel. The sales volume declined in the commercial ingredients channel was due to the loss of an almond butter customer that occurred in the latter part of last year second quarter. Sales volume increased in the consumer channel primarily from increased sales of private brand in Orchard Valley Harvest trail mixes and snack mixes. Sales volume decreased in the contract packaging distribution channel due to the acquisition of the Squirrel Brand business at the end of November of 2017. Squirrel Brand sales volume for December and the current quarter were included in the consumer and commercial ingredients channels while Squirrel Brand sales volume for December of last year was included in the contract packaging channel. Fisher recipe nut volume increased by 3.4%, primarily due to distribution gains at new and existing customers, increased promotional activity, and a product line extension for raw peanuts. The 55.6% increase in volume for Orchard Valley Harvest produce products resulted from new item introductions and distribution gains at new and existing customers. Fisher snack nut volume declined by 2.8% due to lower promotional activity. Net sales for the first two quarters of the current year increased to $473.9 million from $471.7 million for the first two quarters of last year, and sales volume increased slightly in the year-to-date comparison. Sales volume increased in the consumer channel by 4.4%, and sales volume increased in the contract packaging channel by 5.7%. The volume increases in these two channels were offset in large part by a decline in sales volume for bulk almond butter and the commercial ingredients channel as I mentioned before. Sales volume increased in the consumer channel primarily from increased sales of private brand and Orchard Valley Harvest trail mixes and snack mixes. Sales volume increased in the contract packaging channel was driven by increased from existing customer from new item introductions. Second quarter gross profit decreased by $5.5 million, and gross profit margin as a percentage of net sales decreased to 14.6% from 17.4% from last year's second quarter. The decreases in gross profit and gross profit margin were mainly due to increased commodity acquisition cost for walnuts and pecans. We could not raise pecans and walnut selling price that cover these acquisition cost increases due to prior holiday and promotional pricing commitments that we made to support new Fisher recipe nut distribution. Gross profit for the first two quarters of the current year decreased by $7.1 million, and gross profit margin as a percentage of net sales decreased to 15.3% from 16.9% for the same period last year. The decreases in gross profit and gross profit margin, and the year-to-date comparison occurred primarily for the same reasons I cited in the quarterly comparison. Total operating expenses for the current second quarter decreased to 9.1% of net sales from 9.3% for last year's second quarter. And that was primarily due to higher net sales base. Total operating expenses increased by $500,000 in the quarterly comparison. Total operating expenses for the second quarter of fiscal 2018 include $500,000 in transaction expenses and $300,000 in amortization expense associated with the acquisition of the Squirrel Brand business. These acquisition-related expense along with increases in shipping, broker commissions, and advertising expenses were largely offset by a decline in incentive compensation expense. Total operating expenses for the current year-to-date period decreased to 8.7% of net sales from 9% of net sales for the first two quarters of last year, and operating expenses declined by $1.4 million in the year-to-date comparison. The decrease in total operating expense as a percentage of net sales and in terms of dollars were primarily attributable to a decrease in incentive compensation expense. Interest expense for the current second quarter $800,000 compared to $600,000 for the last year's second quarter. And interest expense for the first two quarters of the current year increased to $1.6 million from $1.2 million for the first two quarters of last year. The increases in interest expense in both comparisons were attributable primarily to higher debt levels, which were mainly driven by new debt associated with the acquisition of the Squirrel Brand business. The increases in the effective tax rates in the quarterly and year-to-date comparisons resulted primarily from the write down of net deferred tax assets due to the changes in U.S. tax laws that were enacted during the current second quarter. Now taking a look at inventory; the total value of inventories on hand at the end of the current second quarter decreased by $13.8 million or 7.6% compared to the total value of inventory on hand at the second quarter of fiscal 2017. The decrease in the total value of inventories on hand was primarily driven by reduced quantities of in shell pecans. The weighted average cost per pound of our raw nut and dried fruit input stocks on hand at the end of the second quarter of fiscal 2018 decreased by 3.4% compared to the weighted average cost per pound of input stocks at the end of our last year's second quarter. The decrease in the average cost per pound of raw nut and dried fruit input stocks was mainly due to lower acquisition cost for pecans and a shift in mix from higher cost in shell pecans to lower cost peanuts. I will now turn the call over to Jeffrey Sanfilippo, our CEO, who will provide additional comments on our operating results for the second quarter of fiscal 2018. Jeffrey?
Jeffrey Sanfilippo: Thank you, Mike. Good morning, everyone. It was a strong quarter for top line sales for the company and we are courage by our significant sales growth in both branded and private brand products in our consumer distribution channel. As I have mentioned on previous calls, the company is investing in our brands and we had strong seasonal programs in place October through December. Our holiday promotional pricing commitments for Fisher recipe nut were completed by the end of fiscal 2018 second quarter. The brand gained market share and had a very successful holiday season in spite of significant changes in shelf space in one of our major customers. At retail, Fisher recipe nut pound volume increased by 3% while the total category pound volume was unchanged in the quarterly comparison according to IRI market data. We believe that this promotional pricing program supported our goal of investing in our brands and will support new distribution gains as well as continued growth for the Fisher recipe nut brand in future quarters. Following the conclusion of these holiday commitments, we have currently improved the alignment of our selling prices with our acquisition cost for walnuts and pecans. Orchard Valley Harvest brand continues to grow significantly and it is currently our second largest brand in respect to net sales. Orchard Valley Harvest performed well at retail this quarter with pound volume up by 61% while the total produce category pound volume was unchanged in the quarterly comparison. The line extensions we executed in the past year, which include omega-3 mix, antioxidant mix, had an extremely strong and driven brand growth. In addition, the launch of our OVA salad toppers is off to a great start with initial shipments beginning this fiscal year. Fisher snack nut pound volume at retail declined by 17%, while the category grew 3%. We are committed to redefining our brand positioning and distribution for Fisher snack. The sales, marketing, R&D, and operations teams have worked hard to build a new product platform. We intend to focus on reversing this downward trend with the introduction of our new oven roasted never fried product line of Fisher snack nuts. Customer response to our offering has been very positive and we are gaining new distribution. First orders will ship in our third quarter. The line includes an assortment of clean ingredients oven roasted nuts to differentiate the brand for consumers looking for healthier snacks in the nut category. In the past, our focus for Fisher snack has been in our core markets in the Midwest. We plan to rollout the Fischer oven roasted product line nationally in the coming quarters. On pervious calls, I have talked about investing in our expand consumer growth strategy. On November 30, 2017, we made an investment with the strategic acquisition of the Squirrel Brand business. The acquisition of Squirrel Brand should provide us with a strong platform to expand our consumer distribution channel and gain meaningful distribution in alternative retail channels. The Squirrel Brand business is one of the nation's leading suppliers of indulgent and premium roasted nuts and snack mixes under its Squirrel Brand and Southern Style Nuts brands. Prior to acquisition, Squirrel Brand was a customer in our contract packaging sales channel for 14 years. As a result of the acquisition, we expanded our customer in branded product portfolio, as well as increased our customer reach, especially into alternative distribution channels. We believe there are enormous opportunities to build these brands and make them a significant part of JBSS as snack growth in the future. Volume growth across all our channels is a major priority as we expand our brand portfolio and reallocate resources and investments we are positioned well to capture the shift in consumer buying behavior. And the consumer channel priorities for the sales teams are mainly in the fiscal year include executing the rollout of the new Fisher Robin roast snack line, expanding Orchard Valley Harvest and Squirrel distribution in the club channel, and continuing to gain new customers for Fisher recipe, in addition, focusing on our strategic private brand partners to grow their snack programs. Priorities in the commercial ingredient division include replacing the volume loss by a significant almond butter customer last year. It is taking more time than anticipated, but the teams have strong programs they are pursuing. These include several new opportunities in food service, chain accounts, and industrial. One area in the food service segment is non-commercial customers. We are pleased so far with the success of the Orchard Valley Harvest brand in the front of the house, and although it is a small base, there are significant growth opportunities to expand sales and distribution. Turning to category updates, I'm happy to share some of the category and brand results this past quarter. As always, the market information I'll be referring to is IRi-reported data, and for today it for the period ending December 31, 2017. When I refer to Q2, I'm referring to 13 weeks of the quarter ending December 31; references to changes in volume or price versus the corresponding period one year ago. We look at the category and IRi's total U.S. definition, which includes food, drug, mass, Wal-Mart, military and other outlets, unless otherwise specified. And when we discuss pricing, we are referring to average price per pound. Breakouts of the recipe, snack, and produce nut categories are based on our custom definitions developed in conjunction with IRi. And the term "Velocity" refers to the sales per point of distribution. First, let me review some category dynamics. Total nut category increased in sales dollars by 2% and pound volume by 1% in the Q2. Overall, prices in the Q2 increased 1% versus the prior year. Pricing in cashews increased in Q2 by 8%, this pricing increase led to a 4% decline in pound volume for cashews. Prices decreased on pistachios and almonds by 12% and a 5% respectively, versus last year, and that resulted in a 30% pound sales increase for pistachios, a 4% pound sales increase for almonds. Prices on the other nut types were relatively flat versus last year. Now let's talk about each category a little more depth starting with recipe nuts. In Q2, the recipe nut category declined 1% in dollar sales, and was flat in pound volume. Even with the 3% decrease in walnut prices, pound sales decline 2%, while pecans managed a 2% in pound sales, while prices were flat versus a year ago. Almonds, a smaller portion of the recipe category decreased 24% in pound sales due to a 7% in price. Consumers migrated to other parts of the store to purchase almonds as snack almonds increased 14% in pound sales. Our Fisher brand had mixed results in Q2. Fisher recipe nuts decreased 6% in dollar sales and increased 3% in pound sales for the quarter versus last year. As a result, Fisher pound sale in the category increased seven times of a point in pound share versus last year, while declining 1.3 points in dollar share. The pound growth was driven by an increase in retail distribution, which shows retailers continue to embrace the Fisher brand. Fisher recipe nuts has an ACV distribution of 65%, which is an 8.0 increase versus last year. With the brand share growth over the past three years, Fisher continues to be the number one brand in the recipe isle and meals recording outlets, whether measured in pound or dollar share. Within the food grocery channel, Fisher recipe had a great season. Dollar sales increased 29% and pound sales increased 33%, driven by a 12% increase in total points of distribution. The Fisher brand now has an ACV distribution of 68%, which is a 11 point increase from last year. This has led to a pound share of 23.3%, which is a 4.9% point increase versus last year. Looking at a longer timeframe, the Fisher brand has grown impressively in the grocery channel over the last five years, adding 17.1 share points of a base of 6.2 shares in Q2 of fiscal 13. Now, let me turn to the snack category. In Q2, the snack category increased in dollars and pound sales 3% and 1% respectively. Fisher snack decreased 14% in sales dollars, and 17% in pound volume in Q2. And the decrease was driven by a decrease in merchandising activity, versus last year. As I mentioned earlier, looking to the future, Fisher snack is introducing a new line of differentiated innovative items under the trademark Oven Roasted Never Fried. We believe we are the first major snack nut brand to launch a line of oven roasted products across such a broad range of snack nuts. The products taste great, and have a clean ingredient line of just nuts and sea salt. Marketing will highlight the lack of added oil compared to traditional roasted nuts. This new line will start hitting the shelves in Q3 as I mentioned. OVH, our produced nut brand increased 56% in dollars and 61% in pounds at IRi reporting customers. Total points of distribution increased by 65% as more retailers are accepting more OVH items into their sets. We have continued to build the core business success by launching new products such as I mentioned our antioxidant mix and our heart healthy blend, both in multi packs along with a line of salad toppers that have gained some early distribution. We will keep you updated on the performance of this line in future calls. Southern Style Nuts became part of the JBSS family of brands with the acquisition of Squirrel Brand. We will continue to report -- we will have this reporting for the brands in our future calls. In closing, while we face competitive challenges every year that impact our company, we've proven our ability to manage through volatile markets quickly, with a very busy second quarter as we invested in our brands and made an acquisition to execute our growth strategy of expanding consumer reach. While the company experienced growth profit and margin declines this quarter, our management team is keenly aware of the importance of growth and maintaining margin and expanding where possible. Selling prices and promotional deals were just as at the beginning of Q3 to align with procurement costs for raw materials. The management team and all our dedicated employees have a steadfast commitment to develop business opportunities that create shareholder value and provide relevant profitable value-added products and services to our customers and consumers. We appreciate your participation in the call, and thank you for your interest in our company. I'll now turn the call back over to Mike.
Michael Valentine: All right. Thank you, Jeffrey. I will now turn the call over to open it up for questions. Daniel, can you please queue up the first question?
Operator: [Operator Instructions] And our first question comes from Francesco Pellegrino with Sidoti. Your line is now open.
Francesco Pellegrino: Can you hear me?
Michael Valentine: Yes, we can.
Jeffrey Sanfilippo: Hi, Francesco.
Francesco Pellegrino: Okay, perfect. So I just want to jump in right now and just touch upon I guess some of your closing comments, Jeffrey, about -- it looks as if you are going ahead and you are raising selling prices. When I look at your consumer distribution channel, at least the way I'm calculating it, I'm getting that pricing was down 4% for both private label and branded label sales, and when I just think about some of the pricing pressure, I know that you had addressed in your comments that you weren't able to get across, or you weren't able to implement price increases year-on-year, but it seems as if prices might have actually been down, and I'm wondering -- look, I know in the private label category, it's going to be weighed [ph] down by lower average selling prices for snack and trail mixes. So I understand that, but there seems as if there might be some sort of product mix happening within the branded category for you guys that sort of dragged down prices, and it could be something as simple as a change in the types of nuts you were selling, maybe OVH has a lower average selling price point, maybe you are selling more smaller bags and lower bags, so just trying to wrap my mind around what's happening with the product mix?
Jeffrey Sanfilippo: Sure. So overall, Francesco, on our consumer channel, our pricing was actually up $0.05 a pound. We did see a little bit of a shift in sales mix. I think Mike alluded to that as far as some of the cheaper products that we've launched, shifting from walnuts and pecans to peanut items that have a lower average per pound sale price. So that was part of the dynamic in the category. There was a lot of pressure as we talked about this year on both competitive activity from other brands as well as the private brand pursuit of one of our large retail customers, which puts some pricing pressures as well on us.
Francesco Pellegrino: Okay. I will go back and do that calculation and touch base with your guys again. Just jumping over to the Squirrel Brand, so on the last earnings call, you guys had outlined like four initiatives that were going to help you offset large [ph] Fisher recipe nut business, and since you acquired the Squirrel Brand, those four items that you had outlined, they are really not that relevant anymore, because getting volume growth in contract packaging while your stripping that out of contract packing and bringing it up to your commercial and consumer distribution channels, my question for you is what's the volume growth that you're expecting for the Squirrel Brand, and I guess, right now, ex the Squirrel Brand, what type of volume growth should we see for contract packing?
Jeffrey Sanfilippo: Try and answer that. First of all…
Michael Valentine: Then, I will take it.
Jeffrey Sanfilippo: Yes. Francesco, we have got great growth plans for Squirrel. We are shifting the volume from contract manufacturing as you mentioned to our commercial ingredient. So, some of the customers that Squirrel Brand sold to before, we acquired them would fit in with our commercial ingredient channel. That would mainly airlines and some of the chain accounts that they service. So, part of those volume will go to commercial ingredient and in the retailer's club stores that Squirrel Brand sold to before, we have bought them will be part of our consumer channel going forward. Strong growth plans in place, Squirrel Brand had a lot of opportunities before we acquired them that they have been working on, or we have been working on with them through our contract manufacturing channel. So, that program is in place. They have got new distribution that just went on in Q3, which we will report on after we finish Q3 results.
Francesco Pellegrino: Okay. Yes, go ahead.
Michael Valentine: I was going to take contract packaging, Francesco. So, as we think about contract packaging ex Squirrel Brand, we expect to see meaningful volume growth going forward. It's primarily going to result from new item introductions by existing customers. Quite a few of those are already launched recently, so -- and they seem to be off to a good start.
Francesco Pellegrino: Okay. Sticking with the Squirrel Brand, relative to the OVH, if it was on your financials in 2017, are we looking at a product that does about the same amount revenue at OVH?
Michael Valentine: I think it would match OVH's revenue last year.
Francesco Pellegrino: Right, yes.
Michael Valentine: Right.
Francesco Pellegrino: Okay. And when I think -- I see this Squirrel Brand and all the Starbucks here in New York, what percentage of Starbuck stores has the Squirrel Brand penetrated? What type of volume growth we look at for that branded category? And then going forward, are you going to be -- I am sorry that it's sort of a loaded question, are you going to be including this in a fourth branded breakout, or are you going to roll into like OV -- like Fisher snack?
Jeffrey Sanfilippo: Okay. First of all…
Michael Valentine: Then, I will take it.
Jeffrey Sanfilippo: We will roll it out separately, Francesco. We think it's an important brand and we are investing in the brand and we will separate it out from the other brands. So, you will see reporting on Fisher recipe, Fisher snack, OVH, and then Squirrel separately.
Michael Valentine: Yes, the only cautionary thing I would say about that is we still have to get in Squirrel Brand's records and see if we can actually come up with the prior year's sales combined with our sales so that we have the meaningful comparison. So we still have work to do there. Since it was only one month in Q2, it didn't make a lot of sense to make that comparison. But we will certainly hope to get that done here in the next quarter or two.
Francesco Pellegrino: Okay. And last question before I jump back into queue. So when you did the acquisition, it looked as if it was something that you guys could have it in entirely on your revolver. Or, you could have just put -- taken out a bigger note? What was -- why do you put a portion on the revolver? Why do a portion through the seller financing? I would just think that the interest rates on your revolver would be lower than the no payable through the seller. Just a little bit of color there and I'll jump back in queue. Thank you.
Michael Valentine: Okay, I'll take that Francesco. When we agreed with the seller and this goes back probably into October. We weren't entirely sure what we were going to pay for pecans. So we wanted to make sure at that time that we had enough dry powder in the event that fuel price for pecans and walnuts too were higher than what we would expect, so that was really more insurance for that. And then of course, we are still committed to our regular dividend. We want to make sure that we have enough dry powder for that to create in July.
Francesco Pellegrino: Got it. Thank you, guys.
Michael Valentine: Thanks, Francesco.
Operator: Thank you. [Operator Instructions] And our next question comes from Timothy Call with Capital Management Corp. Your line is now open.
Timothy Call: Could you review how the new tax law affects you going forward, how much lower will your tax rate be, how much will that help you? Is there a transitionary tax period since you have the fiscal year?
Jeffrey Sanfilippo: Sure. And because we're at June year-end, we started what's a blended statutory, Federal statutory rate of 28%, and we will continue to use that blended rate for the remainder of the fiscal year. And then, going forward, we will reduce that down to 21% as we calculate our estimated -- our effective tax rate. So, just kind of put that in two perspectives for this year, just focusing strictly on the statutory rates and ignoring temporary differences and discrete items. We're at about 32.3%, and we expect that to drop down to roughly about 25.3% for fiscal 2019. And again, those are just the statutory rates that we'll start with, and they don't include any impact with any temporary differences or discreet items.
Timothy Call: Thank you.
Operator: Thank you. And we do have a follow-up question from Francesco Pellegrino with Sidoti. Your line is now open.
Francesco Pellegrino: All right. The couple other things that I want to follow-up on was your volume growth for the full-year, when I think about it, as I said on the prior call, you had outlined some four initiatives; it looks as if I guess basically the way things have changed since 1Q fiscal '18, is it possible that 50% of your volume growth in the year will be coming from branded sales? I'm not sure how you will look at it, whether you're going to be -- you want to look at it including Squirrel Brands, or you want to look at it from an organic growth rate, but when I just consider the fact that you've been able to essentially like right-size the Fisher recipe headwinds, Orchard Valley Harvest comes in with this really big quarter, you are then now going to be incorporating Squirrel Brands. It just seems that in excess of 50% of your volume growth could be coming from your branded category, however, we don't really get any insight into your broken out volume sales. So if you could just give us a little color on that, I'd appreciate it.
Jeffrey Sanfilippo: So, this is Jeffrey. So yes, as we've talked about, we're focused on building our brands while maintaining the key strategic partners in our private brand portfolio. We do anticipate a higher percent of our volume increase to come from our brands. We will be adding Squirrel into that brand piece of it. So you'll see the numbers reported in our total brand performance. Orchard Valley Harvest is off to a great fiscal year, not only in the quarter for Q2, but they've got a lot of new distribution gains that will start taking effect in Q3 and Q4, so, just been strong growth to continue with the Orchard Valley Harvest. And then Fisher recipe, the team has done a great job building our grocery distribution. In spite of the challenges we had with the private brand on the shelf at one of our major customers, the team has done a great job expanding distribution nationally with Fisher recipes. So, well we had a little bit of a headwind in Q2, and we'll continue some of that in Q3 and Q4. I'm confident that the team's done a great job expanding distribution to make up some of that volume. So we'll have a strong branded growth story at the end of fiscal '18. That's not to say our private brand business, there's opportunities that we've been pursuing, that we expect to hit possibly by the end of Q4 of this fiscal year. So we anticipate there's some upside opportunity on private brands as well.
Michael Valentine: And I'll just -- let me finish that off, Francesco. I don't think it will actually be 50%, and mainly because the increase in sales volume from private label trail mix is just so high. I mean, the new products that we have introduced for existing customers are just incredibly successful. So I don't think we'll actually get to that 50% mark.
Francesco Pellegrino: Okay. When I look at the headwinds that you guys experience for pecans and walnuts in the quarter for pricing, and I think Jeffrey, you had said that by the summer price, you'll have price increases implemented. What type of headwinds can I be looking at for the second-half of 2018 as compared to the second-half of fiscal 2017?
Michael Valentine: So Franc, as we've already taken price increases in January to align our acquisition costs with the increase in some of the commodity costs, so you'll start to see that reflected already in Q3. And then, we're finishing up the harvest now on pecans. So we don't have a final average yet, and they're competent [ph] cost, but we'll anticipate possibly having some -- little bit changes there, but overall our prices as of February are well-aligned with acquisition cost at this point.
Francesco Pellegrino: I'm sorry. I thought you said there was something trickling from 2018 that was still going to be from 2Q, 2018. It was still going to be trickling into 3Q, 2018 and 4Q, 2018, that was still going to represent a headwind. I definitely got those confused. What was that again?
Jeffrey Sanfilippo: Yes. So, headwinds will still be the private brand, because we're still be cycling against that lack of shelf space that we had in Q3 and Q4 for fiscal 2017. That's more of a volume challenge headwind for us, but from a pricing margin headwind, we've overcome that going into Q3 and Q4.
Francesco Pellegrino: Okay, but relatively speaking as a percentage of total sales, your consumer distribution channel, so far through the first-half of 2018 is pretty much in line with what the first-half of 2017 was. So, it seemed that's just evolving more towards the CPG business, and may be getting lower exposure to contract packaging as you now have the Squirrel Brand, we discussed those dynamics before, it just seems as if you're becoming more of a CPG business.
Michael Valentine: Yes, that's correct. That's added in the focus. Yes, absolutely right.
Francesco Pellegrino: Yes. All right, I just want to see how you guys are executing on it. Perfect. That's it for me. Thank you.
Jeffrey Sanfilippo: Thanks, Francesco.
Operator: Thank you. And our next question comes from Mitch Pinheiro with Costello Asset Management. Your line is now open.
Mitch Pinheiro: Hi, good morning. Thanks for taking my questions. So I was curious, you know, big picture, are there any structural changes in your business? And if so, how does that compare to where your historical margins has been? You've been pretty consistent sort of with the high single-digit EBITDA margin. And is there anything in the -- any change in the categories, any changes to your business from a three to five-year perspective that's different that I should be aware of?
Michael Valentine: So, from a competitive standpoint, well first of all, retail consolidation, I guess if you look at the last three years, the major change that impacted that our company this year was the major private brand launched by one of our key retail customers in our Fisher recipe category. So that's a significant change that's been talked about for years finally was executed this year. Competitive activity, we've had some private equity come into our space purchase some of the other suppliers, not so much branded, but some of the other industrial, food service, co-packers; that's put some competitive pressure on us as well, but we anticipate as we've seen in the past this has happened, we're able to overcome that once we align our pricing with our commodity costs. And that's why the focus has been on building of our own brands, so that we can mitigate that huge risk based on commodity cost changes and competitive activity in the marketplace.
Mitch Pinheiro: So, with -- but still if you look at your brand investment and the sales mix change may be channel mix pressures, I mean, is there -- I mean do you think that your historical margins are still valid target for your business, or do you think it's lower or higher over time?
Michael Valentine: Over time, I would say historically they should be consistent. Q2 was a big investment quarter for us as we've talked about, not only because of the competitive activity taking place in the market, but also investing in new distribution with our brands you've got to pay, sliding in some cases, you've got to increase your trade spend to get that new distribution, and we saw some of that in our Q2.
Mitch Pinheiro: Okay. And then, as you look over the next 12 months, do you see any unusual cost items that we should be aware of? You know, forgetting about your normal, you know, the buying and selling of your broad range of nuts, is there anything unusual there, and is there any change in capital expenditure needs for the coming year?
Jasper Sanfilippo: Mitch, this is Jasper here. We don't expect to see any changes in our CapEx requirement. I think the only unknown cost that we would keep our eyes on would be transportation.
Mitch Pinheiro: Okay. And how big is transportation as a percentage in your cost of goods…
Jeffrey Sanfilippo: Well, out on -- actually in our selling expense.
Mitch Pinheiro: Okay. Is it a significant piece…
Jeffrey Sanfilippo: One of the things, I think it amounts to something like $50 million annually, out on freight cost.
Mitch Pinheiro: Okay, that's helpful. And then, capacity utilization, is it a -- where are you on that? Do you have plenty of room for expansion there?
Jeffrey Sanfilippo: We do have certain product lines. The product lines that we've had to invest in the last three years really is to support our stand-up bag business, and our portion control. We just completed several projects over Q1 and Q2 to increase that capacity. So, obviously, as we gain new distribution and new customers, we'll continue to watch that book. We don't have any capacity constraints that we foresee over the next three quarters.
Mitch Pinheiro: Okay. All right, thank you very much. I appreciate it. Good luck.
Michael Valentine: Hey, Mitch, thank you.
Jeffrey Sanfilippo: Thanks, Mitch.
Operator: Thank you. And I'm not showing any further questions at this time. I would now like to turn the call back over to Michael Valentine for any further remarks.
Michael Valentine: Okay. Thank you, Daniel. At this time, we will end our earnings call for the second quarter of fiscal 2018. And again, we thank everyone for their interest in JBSS. Have a good day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program, and you may all disconnect. Everyone have a wonderful day.